Operator: Ladies and gentlemen, thank you for standing by. I'm Constantinos, your Chorus Call operator. Welcome, and thank you for joining the Eurobank Holdings conference call to present and discuss the first half 2025 financial results. At this time, I would like to turn the conference over to Mr. Fokion Karavias, CEO. Mr. Karavias, you may now proceed.
Fokion C. Karavias: Ladies and gentlemen, good afternoon, and welcome to the Eurobank First Half 2025 Results Presentation. Together with me is our CFO, Mr. Harris Kokologiannis and the Investor Relations team. We are starting with some key recent developments, then presenting our results and answering your questions. Global economic conditions are normalizing, overcoming any concerns related to tariffs and geopolitical events. In Europe, a more relaxed fiscal policy adopted by some countries, combined with increased investments in infrastructure and defense may provide sustained economic stimulus and strengthen resilience. The region we operate in, Greece, Bulgaria and Cyprus continues to grow faster than the EU. Greece fiscal discipline remains strong as seen in primary surplus figures in the first 5 months of the year and the debt-to-GDP ratio improved the most among EU countries. These trends were reflected in sovereign bond spreads as GGBs are trading through Italy and at par with Spain. Taking advantage of the favorable market conditions, Eurobank proceeded to its first AT1 issuance in May. Credit expansion continues to demonstrate strength, supported by sustained business lending in Greece and solid growth across all loan categories in Bulgaria. The forthcoming euro adoption in Bulgaria scheduled for early next year is anticipated to be a significant milestone towards further economic convergence with Europe. Now let's move on to our financial results as highlighted on Slides 5 to 10. Eurobank reported robust financial performance in the first half of 2025, achieving an adjusted net profit of EUR 711 million and a return on tangible book value of 16.6%. In more detail, net interest income rose 12% year-on-year as the quarter-on-quarter drop decelerated to less than 1%. Fees and commissions were up by 29% year-on-year, supported by a strong second quarter. As a result, corporate provision income was up by 7% year-on-year to over EUR 1 billion. The cost of risk ratio remained at 60 basis points, in line with our full year guidance. Asset quality remained resilient for another quarter with the NPE ratio decreasing to 2.8% and coverage exceeding 90%. As a result, core operating profit reached EUR 866 million. This is more than 6% higher year-on-year. Regional operations performed strongly, netting EUR 374 million, highlighting the group's franchise strength. Cyprus net profit reached EUR 250 million and Bulgaria's EUR 110 million. Now on volumes. Loan growth continued unabated with a quarterly net increase of EUR 1 billion. This is 11% up year-on-year. The strong pipeline allows us to revise upwards our full year loan growth target from EUR 3.5 billion to EUR 4 billion. Deposits returned to growth in the second quarter, increasing by EUR 1 billion. Wealth Management performance was also strong with managed funds and private banking customer asset liabilities moving up by 26% and 11% year-on-year, respectively. The total capital ratio was further enhanced by the AT1 issuance to reach almost 20%, while the CET1 ratio stood at 15.5%, absorbing the impact of the CNP acquisition in Cyprus. In conclusion, the first half results were in line with our plan, notwithstanding a more rapid decline in ECB interest rates. Consequently, we anticipate that the return on tangible book value will exceed the initial annual target of 15%. The strong first half performance allows us to align with other European banks policy by introducing for the first time a 2025 interim cash dividend of EUR 170 million. This is EUR 0.047 per share to be distributed in the fourth quarter. At this point, I would like to ask our CFO, Harris Kokologiannis, to present 2025 first half results before opening the Q&A session.
Charalambos Harris V. Kokologiannis: Thank you, Fokion. Prior to commencing, I would like to highlight that this quarter marks the first time consolidation of CNP Insurance. In this context, we have provisionally recorded negative goodwill of EUR 38 million with the final figure to be determined by year-end. Let's now provide more insight into the second quarter results. Starting on Page 21, on lending volumes. For another quarter, the group experienced strong organic growth with an increase of EUR 1 billion in the second quarter and EUR 2.2 billion in the first half of the year. This growth was primarily driven by corporate lending in Greece and mortgage lending in Bulgaria. Based on these trends and the current pipeline, the full year loan growth target was raised from EUR 3.5 billion to EUR 4 billion. Group deposits on Page 22, recovered in the second quarter, rising by EUR 1 billion or EUR 1.5 billion excluding FX effect, mainly due to retail deposits in Greece with positive contributions from Postbank and Hellenic Bank. The net loan-to-deposit ratio remained stable at 67%, while the LCR ratio improved to 191% following the issuance of AT1 capital as shown at the left of Page 23. As regards managed funds on Page 25, in the second quarter, Wealth sector continued unabated its growth pace. Quarter-on-quarter, managed funds increased by EUR 450 million and year-on-year are higher by EUR 1.7 billion or 26%. Private banking customers' assets and liabilities reached EUR 13.5 billion, increased by 11% year-on-year. Moving to profitability on Page 29. On a year-on-year basis, NII is higher by 12.2%. Quarter-on-quarter, net interest income declined only slightly by 0.8% as the impact from the lower Euribor by circa 50 basis points was largely offset by the higher loan volumes and the base effect. The net interest margin for the first half stood at 251 basis points. Moving on fees on Page 30. Commissions are higher year-on-year by 29%, driven by the consolidation of Hellenic Bank and the high single-digit organic growth. The second quarter fee income reached a record for this period, EUR 195 million, supported by higher platform and credit card fees as well as wealth and insurance revenues, including the effect of CNP Insurance. Fees over asset ratio reached 77 basis points for the group and 82 basis points for Greece, reinforcing confidence in achieving or probably exceeding the full year fee income target of EUR 740 million. On Page 31, group operating costs increased by 6% on a like-for-like basis, with Greece expenses rising by 6.7% due to higher IT CapEx and staff remuneration. The cost-to-core income ratio for the second quarter was 37.4%. Cost optimization efforts continued. Indicatively, in Bulgaria, staff decreased by more than 400 FTEs year-on-year and branch network reduced by 34 branches. This rationalization improved Bulgaria's cost-to-income ratio from 40% to 37.8% despite a declining interest rate environment. In Cyprus, the scheduled legal merger between Hellenic Bank and Eurobank Cyprus is set for September, expecting to accelerate cost synergies. On Page 33, we summarize the operating performance for the first half of the year. Core PPI reached EUR 1.021 billion, up 6.6% year-on-year. Loan loss provisions for the period amounted to EUR 155 million or 60 basis points, in line with our plan and almost 10 basis points lower than first half 2024. Consequently, core operating profit increased by 6.3% year-on-year to EUR 866 million. Moving on to asset quality on Page 35. The NPE ratio decreased to 2.8%, while NPE coverage improved to 93%. Moving on capital and on Page 39. Organic profitability contributed 67 basis points to CET1 ratio, which remained stable despite a 20 basis points impact from the consolidation of CNP Insurance. The total CAD ratio on Page 40, increased by 90 basis points quarter- on-quarter to 19.8%, boosted by the new AT1 issuance. Overall, in the second quarter, the group delivered accelerated performance, supported by robust lending expansion, increased deposit volumes and strong underlying core profitability indicators. The decline in net interest income was moderated as loan growth helped offset the adverse effect of decreasing rates. The consolidation of CNP Insurance had a positive impact of fee income, which remained solid overall, while strategic cost optimization initiatives continue to be implemented across all regions. Looking ahead, based on the first half performance, along with projected loan and bond volumes, anticipated lower MREL costs and solid fee income, the group expects to exceed its 15% return on tangible book value target for 2025. This completes my presentation, and we may now open the floor for your questions.
Operator: The first question comes from the line of Sevim, Mehmet with JPMorgan.
Mehmet Sevim: I have just 2 questions, please. Firstly, on NII. It seems like it's evolving very nicely now given, obviously, the loan growth. And just wanted to understand how you think about the quarterly NII trajectory from here if you take into account that the pace of decline has meaningfully decelerated this quarter, but also rate cuts are now behind us. Should we see a stabilization in the run rate from here? And my second question is on capital. Now that you've done CNP and you've also issued your AT1. I was just wondering what else we can expect from you when it comes to capital deployment? And for example, is there anything that we can think of in markets like Bulgaria that you could consider for M&A? Or is there any potential upside to the dividend payout ratio already this year, considering also the front loading?
Charalambos Harris V. Kokologiannis: Let's take the first question and then Fokion will go on for the second one. For NII, we have run a top-down exercise some weeks ago. And based on that, we reaffirm our initial target of EUR 2.5 billion, even assuming the ECB terminal rate reaching 1.5%. That was the assumption when we run this top-down exercise. This implies that the expected average DFR for the year to be 35 basis points lower than our initial expectation, i.e., at 2.19% versus 2.53%. So the EUR 2.5 billion NII guidance is maintained as a result of higher loan deposits and bond volumes and better MREL management. Now as regards the quarterly evolution and probably question where is the trough, let's say, I would say that this depends on the ECB trajectory. For sure, the third quarter will be lower than the second quarter. Why? Because the base rates at best will be 25, 26 basis points lower on average third versus the second. But at any case, whether it's going to be the third or the fourth quarter, what we say clearly is that despite the lower average base rates versus our business plan, we reaffirm our EUR 2.5 billion NII.
Fokion C. Karavias: Now moving into the capital use. You correctly pointed out that we have already consolidated the ex-subsidiary of CNP in Cyprus, absorbing about 20 basis points of capital impact. What is next? We have stated before that we are interesting not only for nonorganic growth in banking, but also in insurance and asset management in any of the 3 countries that we have a presence. So Bulgaria could be a possibility if there is the right opportunity. And again, the interest may be not only in banking, but also in insurance and asset management. At the moment, there is nothing that is advanced in terms of discussions. There is no specific target. But these opportunities may come at the time that we don't expect. For this reason, we would like to keep an amount of excess capital for potential inorganic growth opportunities. But also this discussion is driving our decision with respect to payout ratio. We have already stated that for the full year 2025, we have been committed for at least -- and I'm repeating, for at least 50% payout ratio, meaning that this may be higher than 50%. This assumption was based -- this ratio was based on the assumption of a strong loan growth, which actually has materialized and it is stronger than what we have anticipated. Let me remind you, I'm sure you have seen the data based on the ECB 2025 -- May 2025 data, the credit growth in Greece and the private sector has been the fourth highest in the euro area. So we should continue to see this strong growth also in the second half of the year. And based on these facts, so the fact of a strong loan growth and our desire to keep an amount of excess capital, we reiterate our commitment for a payout ratio of more than 50%. Now our decision to initiate an interim dividend distribution of EUR 170 million or EUR 0.047 per share to our shareholders underscores also our commitment to shareholders' reward. And let me also remind everybody that our share buyback program, which is the largest as we speak, in the Athens Stock Exchange remains active. Out of the EUR 288 million of the program, so far, EUR 80 million have been used, which corresponds to an acquisition of 28 million shares, which is 0.77% of the share capital. And as we have stated in the past, any shares acquired through the program will be canceled out.
Operator: The next question comes from the line of Kemeny, Gabor with Autonomous Research.
Gabor Zoltan Kemeny: Just a follow-up on NII, please. I noticed that you had some income from money market and repo businesses, EUR 12 million plus in Q2. Is this a one-off? Or do you think it is more of a recurring NII stream from here? The other question would be on Bulgaria. Can you give us a guidance on what sort of NII impact -- NII boost you expect from the reserve requirements dropping with the country's euro accession from next year? And also a broader question on Bulgaria. Do you see this euro accession and the new supervisor, new financial supervisor coming in, driving any consolidation in the market now to your comment on possible M&A opportunities?
Fokion C. Karavias: Yes. Let me start from the second question about Bulgaria and then Harris will discuss about the NII. In Bulgaria, we expect about -- if I recall correctly, roughly EUR 1 billion of liquidity to be released because of the reserve requirements. So this is going to boost the NII '26 onwards. The euro adoption is going to have definitely positive consequences for the economy overall. And this is good for the banking sector. The 4 largest banks control about -- and Eurobank is one of them, control about 75% of the banking sector. So there is still some room for further consolidation, which we monitor very closely.
Charalambos Harris V. Kokologiannis: As regards your first question, overall, there is nothing, let's say, exceptional in this quarter's NII, including the money market and repos, which includes hedging result as well. So there's nothing extraordinary in this quarter that may not be repeated in the following ones.
Gabor Zoltan Kemeny: And on the EUR 1 billion excess liquidity, what sort of spread shall we assume maybe 200 basis points, is that -- does that sound fair...
Fokion C. Karavias: Obviously, you could appreciate that this amount is going to be allocated to lending activity on a gradual basis. It's not going to happen overnight. So the income that you can assume on this amount day 1 is the ECB, DFR rate and gradually it is going to be translated into lending activity with spreads on average in Bulgaria in the area of 2% to 2.5%.
Operator: The next question comes from the line of Butkov, Mikhail with Goldman Sachs.
Mikhail Butkov: I have several questions. Firstly, on return on tangible equity upside risk. So in the first half, you recorded around 16.6% return on tangible equity and your guidance on NII implies -- it seems to be implied [ at worst only ] quite marginal contraction in the second half, which I presume was the biggest, let's say, risk for the declines in the second half. To this end, would you think that you can repeat the second half in line with the first half in terms of ROE? Or there are some other headwinds, either on expense side, cost of risk, anything which would result in a lower run rate? And -- then also a question on dividend payout ratio. You mentioned that you committed to more than 50%, and this was based also on different scenarios related to the lending growth. Now that your lending growth is higher than expected, what are the other considerations which you take into account when you will be deciding either to pay 50% or more? So that are the question.
Fokion C. Karavias: Okay. Let me start from the second question. Obviously, one thing that helps in terms of a dividend -- sorry, a payout ratio more than 50% is the additional Tier 1 issuance that we had earlier this year. So this is one factor that could drive the payout ratio at a level higher than 50%. The stronger loan growth actually is on the opposite direction. It's not helpful because it consumes more capital. But despite having a stronger loan growth, we feel we can accommodate taking also into account the AT1 issuance and have a payout ratio more than 50%.
Charalambos Harris V. Kokologiannis: On your first question, as regards the second half of the year, of course, we should expect a lower NII figure based on the trajectory of interest rates. In the first half of the year, the average DFR rate was at 2.52%. Even if it stays at the level of 2%, we are going to have a 50 basis points lower NII. Even deducting the full year outlook that we have provided of EUR 2.5 billion minus the first half figure, we are going to have a lower NII mark by EUR 30 million to EUR 40 million, depending on the trajectory of ECB base rates. Apart from that, there is nothing, let's say, there is no aberration in the second half of the year compared to a business as usual trajectory. Of course, we are quite conservative on trading income, which is not easy to be forecasted. And based on that figures, we have approached the return on tangible book value at a figure higher than 15%.
Mikhail Butkov: Just to clarify, so you revised 3 metrics with these results. So you basically highlight the upside to ROEs. You highlight -- you increased the guidance for performing loans growth to EUR 4 billion and also you see upside to the fees. Are there any other revisions or...
Charalambos Harris V. Kokologiannis: No, no, no, no. You are absolutely correct.
Operator: The next question comes from the line of Memisoglu, Osman with Ambrosia Capital.
Osman Memisoglu: Just to clarify on NII, did I hear correctly if the DFR ends at EUR 1.5 billion this year, then you'll get to EUR 2.5 billion. So if it doesn't, there is upside to NII guidance.
Charalambos Harris V. Kokologiannis: Yes, that's a good question. Let me elaborate further on that. You correctly received our answer. Now if rates remain at 2%, so we have no any other movement on base rates going forward, we should expect a positive impact on NII between EUR 10 million and EUR 11 million. Why? Because in this case, that the ECB continues rate cuts. In the case that ECB continues rate cut, we have assumed a cut in October and the last one in December at 1.5%. In such a case, the average fourth quarter DFR would come down to 1.71%. However, if rates remain unchanged at 2%, this 29 basis points difference multiplied with our sensitivity, results in a potential NII upside at the end of EUR 10 million, EUR 11 million.
Osman Memisoglu: Clear. And then if I missed apologies, but you have one of the higher exposures to Swiss franc loans. Where do you stand on -- because some of your peers took some one-off charges this quarter, some didn't need to. Where -- could you remind us how much you have taken? Do you have more? Is it part of the 60 bps guidance? And related to that, is there positive risk, i.e., because the formation is very low, particularly this quarter, I see almost nothing in Greece. So do you have -- is part of the RoTE upside risk coming from cost of risk or not really?
Fokion C. Karavias: Osman, thank you for this question. We have discussed a number of times and even during such calls that the bank has followed a countercyclical provisioning policy during the last few years, increasing overlays -- provision overlays across all loan segments, including Swiss franc loans. As such, we do not expect any changes to the cost of risk guidance of 60 basis points for 2025. We had 60 basis points coverage in the first half of the year.
Charalambos Harris V. Kokologiannis: 90 basis points coverage.
Fokion C. Karavias: Sorry, let me repeat, 60 basis points of cost of risk for 2025. So we had 60 basis points cost of risk in the first half of the year. We expect to have the same level in the second half of the year.
Osman Memisoglu: Okay. And if I could squeeze in one final one and a small one, frankly, but associate income line, what drives it? And I mean, there is a bit of a pickup, but it happened last year as well, actually at a higher level. I'm just curious if you could give us some color and...
Charalambos Harris V. Kokologiannis: Yes. This is the 20% of Eurolife. So it is driven by Eurolife results. It is also the 20% of the value, but the major driver is Eurolife, Osman.
Operator: The next question comes from the line of [ Stewart, Rob ] with [indiscernible] Capital.
Unidentified Analyst: Can I just quickly ask, obviously, you've sort of given quite a lot of detail there around how we should think about net interest income over the next couple of quarters. But sort of back of an envelope, the run rate that we're getting to in Q4 is not quite the EUR 2.5 billion, but close to EUR 2.5 billion. But I was just really thinking about moving forward then. Are we assuming ECB is done cutting rates, presumably, the moving parts then just volume growth as we go into 2026 from that kind of base rate. Am I right in assuming that?
Charalambos Harris V. Kokologiannis: I'm not sure that I have understood correctly your question. Does it concern 2026 onwards or not?
Unidentified Analyst: Yes. I basically just thinking about how the balance sheet sort of reprices. You've given fairly clear guidance around the second half and obviously, we can make our own rate assumptions. But I guess what I'm sort of saying is that assuming the rate cuts are largely done by the end of this year, which I think is sort of a little bit more bearish maybe than the forward curve is now suggesting. But on that basis, presumably then as you look into 2026, whatever we end up getting to in the second half, that's the run rate and then it's really just volume growth from there that's driving it. I'm just asking, are there any other things that we need to be thinking about any other moving parts in 2026?
Charalambos Harris V. Kokologiannis: This is something actually that we are going to revisit when we are preparing our budget in -- at the end of the year. I think we have provided a number of drivers as regards loan volumes, deposit volumes, our sensitivity. But more detailed picture as regards to 2026 onwards, let us the margin to revisit towards the year-end. And of course, we are going to provide in detail our business plan for the next years in March 2026.
Operator: The next question comes from the line of Nellis, Simon with Citibank.
Simon Nellis: Quick question on the EUR 6 million positive other impairment. What was the nature of that? Historically, it's usually been the negative figure. And also, I see that you booked EUR 20 million of restructuring costs in one-offs. How much more do you need to book in the second half, if any? And then I didn't catch all of the revisions to guidance. So I think if you could just summarize what's changed in your guidance, that would be helpful again.
Charalambos Harris V. Kokologiannis: On other impairments, the release has to do with a release of general risk provisions. Actually, there, we record the plus or minus of operational risks. So there is a quarterly assessment of operational risk status and situation. And based on that, either we record further impairment or we proceed to some release as the case is currently. As regards the second half of the year, I would say that the major -- I'm looking at the numbers here. The major item that we may expect is the finalization of the negative goodwill. This means that we may expect some more amount positive, not as positive as the one that you saw in our first half figures. Apart from the rest, we may have some small single-digit restructuring cost, and that's it. It is not something material.
Simon Nellis: Okay. And in terms of the guidance, so the main changes were the EUR 4 billion credit expansion, right?
Fokion C. Karavias: There are 3 items. In terms of volumes, we said we update our guidance from EUR 3.5 billion to EUR 4 billion for the full year 2025. In terms of fees, the guidance that we have provided before is the minimum that we should expect. There is upside potential there given the second quarter results in terms of fees that were quite encouraging. And overall, in terms of return on tangible book value, we said that they're going to be higher than the 15% initial target.
Operator: The next question comes from the line of Novosselsky, Ilija with Bank of America.
Ilija Novosselsky: Just 2 questions from me. So first, I'm looking at your -- the Excel file that shows the breakdown for Greece versus international in P&L. And I can see that NII in your Greek business has already inflected. So can we assume that, that's going to continue? And right now, you're just waiting for the international portion to inflect. I believe your sensitivity is mainly outside of Greece. Or is that not the right way to think about? And the second question, I'm looking at Page 29 from your presentation, that's showing the NII components. And I see that the NII that you get from bonds is down this quarter from EUR 207 million to EUR 200 million. Now if this wasn't down, then your total NII would have been up quarter-on-quarter. So is there some one-off reason why the bond NII is down because you're targeting bonds to increase? Or is this just a normal development?
Charalambos Harris V. Kokologiannis: The answer is -- your first observation is correct on the international, especially in Cyprus, we are more sensitive on NII due to the very high surplus liquidity. So we may have some delay versus the inflection point of Greece versus non-Greek operations. On bonds, actually, you have to take into account as well the impact of the base rates. So -- and considering that this is in a gross income basis may be not so much representative. The answer is that the increase of bonds volume is contributed to the impact of NII positively addressing any negative impact from base rates decrease.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Karavias for any closing comments. Thank you.
Fokion C. Karavias: I would like to thank you all for participating in this conference call to also thank you about the very interesting questions that help us to elaborate in our results. Our Investor Relations team would be available for any follow-up questions. Thank you very much.